Operator: Good morning, ladies and gentlemen, and welcome to HireRight's Third Quarter 2023 Conference Call.
 Joining today's call are the company's President and Chief Executive Officer, Guy Abramo; Chief Financial Officer, Tom Spaeth; and VP of Treasury and Investor Relations, Andrew Hay. [Operator Instructions]
 I remind everyone that management will refer to certain non-GAAP financial measures. An explanation and reconciliation of these measures to the most comparable GAAP financial measures is included in the press release issued today, which is available on the Investor Relations section of HireRight's website. Also during this call, management's remarks will include forward-looking statements, including related to macroeconomic conditions, new business and customer retention, partnerships with HCM providers, biometric screening capabilities, cost reduction initiatives and improving profitability, cash flow and updated outlook. Such statements are predictions and actual results may differ materially.
 Additional information concerning factors that could cause actual results to materially differ from those in the forward-looking statements is contained in Annual Report on Form 10-K filed with the SEC, in particular, the section of that document entitled Cautionary Note Regarding Forward-Looking Statements and Risk Factors summary in the 10-K and Management's Discussion and Analysis of Financial Condition and Results of Operations.
 It is now my pleasure to turn the call over to Guy Abramo. 
Guy Abramo: Thank you, operator, and good morning.
 I appreciate everyone taking the time with us as we share our third quarter 2023 results. For the past 4 quarters, we successfully executed in a challenging macro environment with inconsistent economic data, geopolitical turmoil and an ever-evolving employment market. With this as a backdrop, we remain focused on what we can control, and we are pleased with our execution to date.
 For the third quarter, revenue was $188.3 million, down $22 million year-over-year. Base hiring volumes remained significantly lower than this time last year, and Tom will provide a breakdown by our growth algorithm later in the call. To refresh your memory, when we say base hiring volumes, that is analogous to same-store sales and does not indicate client losses.
 For the quarter, we generated adjusted EBITDA of $52.1 million, despite lower revenues, while improving margins more than 200 basis points, demonstrating our ability to improve profitability in a challenging environment. During the quarter, our gross margin, excluding depreciation and amortization exceeded 50%, driving the adjusted EBITDA margin to 27.7%. Labor markets in general remain in flux with plenty of conflicting data. While job openings remain higher than pre-pandemic levels, there has been a clear slowing of employee turnover.
 Uncertainty in the macro outlook, coupled with geopolitical concerns have certainly slowed the recovery. The quarter was, however, in line with our typical seasonal patterns similar to the first 2 quarters of the year. We spent a lot of time discussing our technology and services verticals last quarter, and I am pleased to report that our technology customer base has stabilized as the vertical was essentially flat to Q2 after showing a bit of a rebound in that quarter. Part of that improved performance was driven by some significant upsells and expansion, which I will get to in a minute.
 Our transportation and health care businesses were down slightly from Q2, but remained in line with our expectations. Lastly, our remaining core vertical of financial services declined 14% compared to Q2, primarily driven by our European-based banking customers. Those customers have indicated that volumes have softened mainly due to slowing employee turnover and not necessarily from job cuts.
 During the quarter, revenue from new business increased more than 30% versus the second quarter of this year. Year-to-date, new business revenue has driven more than $36 million in growth and our pipeline remains as strong as it has ever been. During the quarter, we added 5 new enterprise customers with combined estimated annual contract value of $11 million.
 Our go-to-market and onboarding teams are fully engaged, working to transition these wins and converting our strong pipeline into revenue. Retention of our top customers remains strong as well at just under 97%. And as I mentioned earlier, we had some major upsell success, particularly in health care and in technology, where we have expanded our presence with a very large ride-sharing company. In addition to the high customer satisfaction that drives our impressive retention, we are very pleased to announce we have enrolled in the Oracle independent software vendor, ISV Accelerator Program, expanding beyond our Gold level Oracle partnership.
 This program highlights the integration of HireRight's comprehensive background screening products such as verifications, drug testing, Form I-9 and E-Verify services into Oracle Talent Management Solutions. Our seamless integrations improve and streamline the company's background screening process by automatically pre-populating recruiting forms, reducing redundant data entry, automating background request accuracy and providing timely tracker updates. In addition, customers benefit from increasing administrative efficiency through our integrated support and ongoing platform updates.
 HireRight is now the exclusive background screening provider in Oracle's ISV Accelerator Program, and we look forward to providing the best experience possible through closer alignment with Oracle. Further demonstrating that strength in partnering with leading HCM players, after an extensive evaluation process, HireRight was selected by UKG, otherwise known as the Ultimate Kronos Group, to be their sole go-to-market partner for their newly branded employment screening solution called UKG Screen by HireRight. UKG is a leading global provider of human capital management, payroll, HR service delivery and workforce management solutions.
 HireRight and UKG have been strategic partners for 10 years. And under this new partnership agreement, UKG will market, promote and co-sell HireRight's global solutions to their customers and prospects worldwide under the UKG Screen product name. UKG Screen by HireRight is being externally launched at the UKG Aspire Customer Conference just this week. These premier global partnerships further exhibit the value of our single global integrated platform, which simplifies global implementations of human capital management and applicant tracking systems. Also during the quarter, we began integrating our acquisition of DTIS and are excited about the opportunities to leverage our FBI-approved channeler capabilities.
 The growth of our biometric-based screening capabilities will enable future product, service and revenue opportunities as we expand solutions supporting our complex, highly regulated customers. During our first quarter call, we announced plans to streamline costs, including rebalancing and reducing our global headcount, shrinking our real estate footprint and managing discretionary expenses. We are nearing the completion of our labor force rebalancing enabled by our improved technology stack. We will continue to implement our plans throughout the remainder of this year and into 2024. These self-help actions are well within our control, and are designed to improve operating leverage regardless of the economic environment.
 Looking at current market trends and the murky macroeconomic outlook, we firmly believe that over the long term, our markets will benefit from the favorable secular changes in the employment market, such as growth in the freelance economy and increasing turnover rates. These changes result in more churn and higher velocity in labor markets. However, while recent labor reports indicate there is still a strong demand for talent, there has been a noticeable slowing of turnover as recessionary concerns linger. As we are now in the middle of our seasonally slower quarter, we expect inbound volumes to moderate, but remain confident in our previously provided outlook, which Tom will discuss shortly.
 In closing, we are pleased with our results, especially given the backdrop of the broader macro headwinds. Our business remains resilient, and we have demonstrated our ability to expand margins regardless of the economic environment. We are managing the business for the long term. However, we will be proactive in our near-term decision making to maintain our positive momentum. Our relationships with our key customers provide us with a front-row view of hiring patterns prior to the reported numbers and surveys, which enables us to provide updated outlooks based on near real-time hiring estimates. And we continue to be laser-focused on our margin improvement initiatives while maintaining industry-leading quality and service for our customers, and that focus is clearly reflected in our results.
 With that, I'll turn the call over to Tom for a closer look at our third quarter financial performance and our outlook for 2023. Tom? 
Thomas Spaeth: Thank you, Guy. Good morning, everyone, and thank you for joining our call today.
 As Guy mentioned, our third quarter revenue was $188.3 million, down 10.5% versus the prior year due to reduced hiring volumes driven by economic headwinds. Deconstructing our results based on our growth algorithm provides the following breakdown. Base growth from our top roughly 1,800 customers, which represent approximately 75% of total revenue, was negative 16% year-over-year.
 Upsells into these customers offset that decline by approximately 2%. Customer churn represented a 3% decline year-over-year. New logos contributed 7% year-over-year, with more than $15 million added during the quarter. Growth relating to our recent acquisition contributed 1%. And finally, our long-tail SMB business consisting of more than 30,000 customers represented a 2% decline year-over-year.
 Looking at our verticals. As Guy mentioned, our technology customers' orders has stabilized. After material declines earlier in the year and while still down 24% year-over-year, it was consistent with last quarter in which we saw a rebound from Q4 and Q1 level. Layoff data related to this vertical appears to have peaked during Q4 2022 and the first half of 2023. And we are slowly beginning to see some green shoots.
 Retail and hospitality grew year-over-year in this quarter, largely driven by new business wins. Guy also mentioned the softness in financial services, which declined nearly 19% year-over-year, largely driven by a slowdown in turnover at our large European-based banking customers. Health care was down nearly 7% year-over-year, nearly exclusively driven by our largest customers who have completed a number of rescreening projects in the year prior. Absent that change, our health care vertical would have been flat year-over-year. Overall, our core verticals accounted for 55% of the revenue this quarter, fairly consistent with prior periods.
 Turning to our geographic split. Non-U.S. revenue based on applicant location was approximately 14% of total revenue. EMEA posted a 15% decline versus the prior year, consistent with our financial services decline. APAC and India continued to be impacted by the softness in technology and services, and were down to combined 20% from the prior year. Currency fluctuations had minimal impact on reported revenue.
 Turning to expenses and our improved profitability. During the quarter, we continued to improve our delivery cost of service, helping to drive gross margins, excluding restructuring charges and depreciation and amortization to 50.3%, which is up more than 300 basis points year-over-year and is consistent with our previous commentary. We reported $52.1 million of adjusted EBITDA, just $1.9 million lower than last year despite reduced revenues.
 Our adjusted EBITDA margin grew 200 basis points to 27.7%. This growth is indicative of our focus on improving operating efficiency and implementing our restructuring program. Even though we have made great progress to date, we are still implementing some of our initiatives and will continue these activities through the first half of 2024. We expect to see additional savings throughout this implementation period and a full run rate savings by the end of 2024.
 Digging deeper into SG&A expenses in the quarter, on a GAAP basis, total SG&A declined from $49.4 million in Q3 2022 to $48.6 million this quarter. Excluding stock-based compensation and restructuring charges, employee costs decreased 15% to $20.7 million, driven by our restructuring actions and lower variable compensation. During the quarter, we had a one-time insurance recovery of approximately $6 million. Excluding this recovery and other one-time items such as restructuring, our other indirect expenses increased from $18.7 million in Q3 2022 to $22.7 million. This increase was driven primarily by increasing technology maintenance costs, recurring legal expenses, partnership royalties and indirect taxes, all of which were partly offset by lower facility expenses, professional fees and marketing costs.
 Adjusted net income for the quarter was $24.6 million compared to $29.8 million in Q3 2022. The reduction is a result of lower operating income on lower revenues, coupled with higher cash interest expense of $5.4 million due to higher rates on our floating rate debt. As a reminder, we are using an estimated blended statutory tax rate of 26%. Also note, our estimated statutory rate and our GAAP effective rate will differ from our actual cash taxes paid, which are primarily based on revenue generated outside of the U.S. due to our domestic tax assets in the U.S. We expect to continue to be a nominal cash tax payer through 2025.
 Finally, adjusted diluted EPS for the quarter was $0.36 compared to $0.37 in the prior year period. The diluted weighted average share count for the quarter was 69.1 million, reflecting the shares purchased through the share buyback program versus 79.5 million in Q3 2022. Outstanding shares at the end of the quarter were 68.1 million, reflecting our continued share repurchase program.
 Turning to cash flow. We generated more than $38 million in cash flow from operations during the quarter and year-to-date have generated $50.6 million. Unlevered free cash flow, excluding acquisitions and capitalized software development was $95.8 million. Our leverage ratio ended the quarter at 3.7x, up from 2.9x in Q3 last year and is expected to remain in a range of 3x to 4x. Total cash increased to $103 million, resulting from improved cash collections and approximately $32 million in net proceeds from our refinancing on the term loan.
 In the quarter, we used $24 million of cash to repurchase shares under the authorized share repurchase program. In September, we refinanced our existing term loan, extending the maturity from 2027 to 2030. We increased the outstanding principle to $750 million in converting the borrowing index from LIBOR to SOFR, increasing the borrowing spread 25 basis points to 400 basis points.
 In addition, we increased our revolver to $160 million from $145 million. At the end of the quarter, we had no draws against our revolver and about $262 million of total liquidity. We remain confident in HireRight's balance sheet and ability to generate cash flow, enabling us to invest in the long-term future of the business and opportunistically repurchase shares as well as reducing our debt. Our restructuring program is beginning to generate improved profitability as exhibited by our 200 basis point improvement in adjusted EBITDA margin.
 Looking ahead, we continue to operate in a challenging environment driven by both geopolitical concerns as well as an uncertain economic outlook. While we cannot predict short-term hiring patterns or changes, we have generated improved margins and converted revenue to free cash flow in this unique operating environment. With this in mind, we are maintaining our previously provided outlook, which was; revenue forecast in a range of $720 million to $735 million, adjusted EBITDA in a range of $172 million to $177 million, adjusted net income in a range of $75 million to $80 million and adjusted diluted earnings per share in a range of $1.05 to $1.10.
 As a management team, we monitor both short- and long-term trends and will implement actions to capitalize regardless of where we are in the economic cycle. We remain focused on growing revenues through our key strategic initiatives, while maintaining strict financial discipline.
 With that, operator, we can open the call for questions. 
Operator: [Operator Instructions] Today's first question is coming from Andrew Nicholas of William Blair. 
Andrew Nicholas: I wanted to ask on package density first. I think you called out some upsell success in tech and health care. But any more color you can provide on just what clients are looking to add to the typical order. Is there any increased frequency of social media screening or any other kind of auxiliary or supplemental screens that they're asking for more today than they were maybe a year or 2 ago? 
Guy Abramo: Yes. Thanks, Andrew. Much appreciated. I would say that we still have a very good momentum from the team in our upsells and cross-sells. A lot of it is driven by several things that sort of haven't changed. One is geographic expansion. 2 is drug and health screening. 3 is increases in re-screening and employee monitoring, especially in the more regulated industries. I wouldn't say we see a lot of uptick in other areas, only because the value that we get from those kinds of upsells are pretty substantial. I haven't seen much of a change.
 I would tell you that we see concerns from clients over the increasing cost of doing employment verifications, especially because of the vendor pass-through costs. And that's one of the things that we're sort of just keeping an eye on as we try to shift the amount of business we do through third parties and employment verifications to our own employment verification solutions. But nothing to report on that yet. Just some noise in the machine. 
Andrew Nicholas: That's helpful. And then for my second question, my follow-up, just wanted to ask a question more broadly on customer conversations right now. Any sense from them how next year is looking as they go through their own budgeting processes? Or any color outside of what you already provided in your prepared remarks as it relates to near-term or even medium-term hiring plans, realizing that there's not a ton that you can quantify or specify at this point? 
Guy Abramo: Yes, Andrew. I just -- in fact, I've been on the road visiting customers, especially in some of our international markets, some of our large global clients. I would say the -- almost to a company, there is a little bit of cautious optimism in this year or next year versus this year. But having said that, I would say the main word that we continue to hear is uncertainty in that. They're not quite sure what hiring will look like next year. And a lot of that uncertainty is mainly driven by them trying to figure out what turnover, employee turnover would be like.
 That's the one thing that we've seen hit in the second half of this year is employee turnover slowing. And that's the one thing that employers really can't predict. Even though it's been -- for most companies, it's a fairly consistent rate. So that level of uncertainty is just kind of making it a little bit muddy in terms of us really making a call on what next year looks like. But again, just to reiterate cautious optimism, but uncertainty around what turnover will look like, especially in our very large enterprise clients. 
Operator: The next question is coming from Kyle Peterson of Needham & Co. We'll move on to the next question and come back if he requeues. The next question is coming from Mark Marcon of Baird. 
Mark Marcon: First question is just a follow-up from the prior question. Can you just discuss a little bit about, if employee churn ends up being materially slower, how much of an impact could that have on next year in terms of like, you mentioned the European banks are seeing a little bit of a slowdown, other companies are uncertain, how would you -- like how do they frame like what their level of churn currently is? And what it's been at its lowest points in the past? How much further degradation could we end up seeing in terms of preemployment screening within that base group of clients if churn were to go down to really low levels? 
Guy Abramo: Yes, Mark. It's a good question, right? And I wish I could be -- offer you more detail than I did because we just don't know. My first part of my comment was cautious optimism in the hiring environment that they're talking about in terms of potentially increasing the number of hires, but just general uncertainty in what the turnover would be like. So it's hard for us to say. I mean, obviously, as we're building our budgets, we're in budget season, we're looking at various scenarios and how we'll manage the business in terms of what we'll see from existing clients.
 But I really can't offer you more detail than we did. But I think what you can look at, Mark, is obviously, we look at a lot of different metrics, but that quits rate in the JOLTS report is an indicator for us, too, that we do look at. And you see that, that number has pulled down to much closer to pre-pandemic levels. So I think that's kind of an indication of where we are in the cycle from a turnover perspective. I've heard comments from some clients, Mark, is as simple as we expect it to be increased churn next year over this year. But again, I don't know, right? 
Mark Marcon: Great. And then congratulations on some of those deals that you ended up signing. Can you give us a little bit more of a feel, both in terms of the deals and then also dimension with regards to drivers records. And obviously, there's potentially large clients that could tap into that large 1 or 2 clients that could -- or 3 that could end up tapping into that. Can you just give us a little bit more of a feel in terms of the UKG, the Oracle and then drivers' records and what the potential uplift could end up being? 
Guy Abramo: Sure. Thanks. I'm glad you picked that up, Mark. So we talk a lot about our single global platform as being a competitive differentiator for us and it absolutely is. It's why Oracle and UKG gave us an exclusive deal to be the partner of choice in providing background screening. We think we have and are proving that we have better technology to service global clients who want to consolidate screening. We're seeing some of those -- some of that deal action is now flowing into our pipeline, where they're openly recommending HireRight in the UKG deal, as I mentioned here, is kicking off this week at their major conference.
 We're very good at partnering in the HCM space, and it's sort of been a proven differentiator for us. And we fully expect that, that will provide increased deal wins going into next year. The mention that we made on the increased position on the ride-sharing company, we continue to expand our presence with what I would call the largest player in that industry as we continue to prove that we provide a superior solution to other providers. And you hear me talk about it all the time. They've tested us against other providers.
 We find more -- we get more hits when they do background screening with us, and that makes them more confident in our solution and they're a pretty sizable company. And so we're seeing good increased transaction flow through them as well. So we're very optimistic about our technology stack, our ability to continue to win on partnerships like this, our ability to prove our differentiated offering in the marketplace and that's showing in some of these results. 
Mark Marcon: That's very encouraging. Can I squeeze one more in? You mentioned 5 new logo wins or 5 big enterprise wins. Were those takeaways from the other 2 members of the big 3? Or are those wins relative to some of the regionals and mid-market players? 
Guy Abramo: Yes. So we just highlighted 5, right? I mean, because we call them enterprise deals in the quarter, and we highlighted those 5 because it totaled up to $11 million. 2 of the 5 were from one of the major competitors. 
Operator: The next question is coming from Kyle Peterson of Needham & Co. 
Kyle Peterson: Sorry for the technical difficulties earlier. Wanted to touch on capital allocation. You guys have really done a great job attacking the buyback here, good to see the debt get refinanced. How are you guys thinking about use of cash between buybacks or potential additional M&A throughout the rest of the year and into '24? 
Thomas Spaeth: Yes. Thanks, Kyle. Appreciate it. What I would say is we've been -- we're in our third tranche of our share repurchase program now, and we've made a pretty significant dent obviously and been pretty successful on that program. I think you get to a point, though, where you get to a point of diminishing returns. And one of the things that the feedback we get from investors to is being mindful of the liquidity in the share. So I think we're very close to that level. So I don't anticipate an extension of the program further. But obviously, it's something we'll discuss with the Board on a quarterly basis.
 From an M&A perspective, we were a little bit more active this year than we have historically been. We'll continue to be very prudent in the way we look at deals. I can tell you there's a couple that were in the market over the last quarter or so that we passed on just because of excessive valuations that we didn't think was a prudent use of capital. And then, clearly, we feel really good about our ability to continue to generate cash. You can see the cash flow that we generated this quarter was pretty significant. And as we continue to do that into 2024, we'll consider addressing the debt levels as well as we go through. So we'll continue a balanced approach like we've done for the last 3 years or 4 years. But I would say that if we had to weigh things towards continued equity investment versus addressing the debt, we're probably getting to the point where we're starting to swing more towards the debt. 
Kyle Peterson: Got it. That's really helpful. And maybe just a follow-up on the SMB space through backgroundchecks.com offering. You mentioned it dipped a little bit this quarter. Is your sense was that more macro driven? Has there been more competition in the space? Is it just kind of clients hiring less? I just want to see if you have any more color that you could offer us on that. 
Thomas Spaeth: Yes. We believe it's more macro driven. We haven't seen any substantial losses. We still track order volumes in that space. Down 2% relative to last year is actually pretty decent for small, medium businesses, but it's not due to losses to competitors. It's lower order volume from that sector. The other side of it, Kyle, to be honest with you, it's 30,000 customers, right? So it's not easy for us. We can look at order trends, and that's sort of how we look at it as a bulk and then we do segment it into other pieces. But with 30,000 clients that are relatively small in size, it's not always easy to identify what is exactly going on, but what we can see is it just looks like order volume softening. 
Operator: The next question is coming from Manav Patnaik of Barclays. 
John Ronan Kennedy: This is Ronan Kennedy on for Manav. Can I just -- if you guys can help us with how to think about the opportunity in Brazil and I guess, Latin America as a whole off the back of the launch of the Brazilian entity. I think it was the Inquiro Vitae acquisition in Argentina. Just in terms of -- if you're able to give a percentage of revenue or the growth rate margin profile and kind of the competitive environment in Brazil and Latin America. 
Guy Abramo: Yes. sure. I can comment a little bit more broadly than that because we don't get into those levels of specifics. But Latin America is an important growth market for us. I mean the reason why we established an entity in Brazil did the Inquiro Vitae acquisition was mainly because we were expanding our presence with existing global clients, right? It's sort of been our playbook in the past as we launch into new geographies on the backs of a large global client. We establish a presence in that market and then build a sales engine, a go-to-market engine that then goes out and secures additional volumes.
 So, we see good growth in Latin America, again, through our existing clients, and we see good opportunities for the team on the ground. We're starting to get some wins that we see from local competitors. Markets like Latin America and some parts of Asia are fairly fragmented, meaning they can be served by a lot of different companies. So it's important to us to establish a presence with our enterprise clients first and then go on the ground and improve our mettle, so to speak. So that's why we made those moves and made the announcement. 
John Ronan Kennedy: Got it. That's helpful. And then can I just -- I know, obviously, it was discussed in your prepared remarks, but can I reconfirm the run rate savings from restructuring and the lift to margins? And then also, could you just give us an update on the large back-office automation initiative with regards to modules rolled out, yet to be rolled out and then also the lift to margin and timing of impacts there? 
Thomas Spaeth: Yes. They're somewhat related, right? So, our overall restructuring program includes some of the lift we're getting from our technology automation projects as well. So what we've said publicly is that the target is $50 million of total run rate savings by the end of 2024 from the restructuring activity. But that does include the lift on some of our back office automation. So that is part of the overall program. Continue to feel good about the actions we've taken and the track we're tracking to.
 Do you want to address the automation? 
Guy Abramo: Yes. I mean we're on track. I mean, you can see it in the -- you see it in the results. I mean we've got lots of programs that are still underweight implemented. I mean the big change that we made is we took over the project ourselves, and we're no longer -- we had brought in a third-party to help us build out the platform. That side of it was completed, and now it's sort of become a normal part of our technology stack, and we continue to roll out modules and functionality almost on a biweekly basis. 
Thomas Spaeth: Yes. I would say it's become more part of normal course of business than a special program at this point. 
Guy Abramo: Good way to describe it. 
Operator: The next question is coming from Scott Wurtzel of Wolfe Research. 
Scott Wurtzel: Just wanted to go back to a couple of questions on density and enterprise wins. I mean, just looking relative to last quarter, it looks like the enterprise wins kind of dipped a little bit, but the ACV actually looks like it rose relative to the wins you had last quarter. So just kind of wondering if clients are one sort of asking for maybe more during your conversations with them? And 2, is that maybe leading to a little bit of change in sort of decision-making pace and sales cycles? 
Thomas Spaeth: Yes. Well, just to be clear, that what Guy quoted in his prepared remarks, the 5 wins totaling $11 million, that was just a subset of our total wins that we're highlighting. We certainly had more than 5 enterprise wins during the quarter. We're just highlighting some of the largest wins that we had during the quarter. So we have not seen any material drop off. In fact, it's the opposite. We're seeing momentum on the new business side. So maybe we just didn't phrase it exactly clearly. But yes, the 5 wins totaling $11 million of ACV is just a subset of what we did in the quarter. 
Guy Abramo: Yes. I mean we -- literally, there were hundreds of client wins in the quarter. We wanted to highlight 5 that happened to amount because they were larger enterprise deals, but there were way more enterprise wins than just those 5. We're also, as you know, Scott, we don't disclose that level of detail, but we do like to highlight that at a particular point there is we see good momentum on new business. We don't see the sales cycle slowing. If anything, it been picking up.
 Our pipeline continues -- if opportunities continues to grow and we continue to feel very, very good. The 2 partnership deals that I talked about with Oracle and UKG, UKG is just launching, like that isn't even begun to produce deals yet, but we're starting to see deal flow from the Oracle partnership as companies find the Oracle solution to be a good fit for their businesses. Oracle's recommending HireRight as the background screening provider of choice Regardless of the platform, the Oracle platform that the client is using. So we feel really good about deal flow. 
Scott Wurtzel: Got it. Got it. That's helpful. And then just as a quick follow-up kind of going back to geography. I mean, I understand that Europe was sort of -- saw some headwinds related to some banking customers. But maybe just wondering if maybe ex the sort of financial services sector, could you speak to some of the demand and growth trends that you saw in Europe during the quarter? 
Thomas Spaeth: I think consistent with the rest of the verticals in the US, we've got a pretty significant presence with some of the European pharma companies in our health care group. And so I would say that, that pharma business has been consistent with what we saw in the rest of our health care group in the U.S. The next biggest industry in Europe after financial service and pharma would be tech. Obviously -- and tech is following the same trends in Europe as they are in the U.S. Those are the top probably 3 verticals in Europe. They are, yes. 
Operator: The next question is coming from Stephanie Moore of Jefferies. 
Stephanie Benjamin Moore: I was wondering if you could maybe provide a little bit of color of how trends for your existing customers panned out throughout the quarter and kind of what you were seeing early in 4Q, if there was any kind of sequential changes just from that existing base? 
Thomas Spaeth: Yes. So as you can see in our prepared remarks, we did break out the existing base trend being down 16% year-over-year in the quarter. I would say that the trend in the quarter probably showed a little bit more softness in September than in the summer months. Our guidance reaffirmation is really indicative of what we're currently seeing. You have to remember, we're in our seasonally slow quarter now anyway.
 So, we always expect Q4 volumes really beginning in October to drop from September levels and then obviously get into the November and December months that are very holiday impacted, particularly for the types of customers we have because we don't have a lot of seasonal hiring customers in our customer base. So we don't expect to see an uptick there.
 So, I would say the guidance that we've given and reaffirmed is consistent with what we're seeing up until today and up until what we saw through October. As Guy mentioned in his remarks, people are cautiously optimistic as they start to look into 2024. I do expect people to be kind of waiting and see as the calendar turns before we see a material change in the direction. So I expect normal seasonal patterns for the rest of the year. 
Stephanie Benjamin Moore: Great. That's very helpful. And then you'll continue to see really nice new customer wins. Kind of any color that you can give on who you're winning some of these business from? Is it from smaller players in the space, larger competitors? Any color there would be helpful. 
Guy Abramo: Yes. Sure, Stephanie. I mean, I highlighted that 2 of the 5 that I think based on Mark Marcon's question, 2 of the 5 were from one of the major competitors of ours. And we're still seeing most of the wins coming from other players. Third tier players who just can't service, especially in the enterprise space who just cannot service clients like we can. I mean, one of the comments I think we've made before is we spend more on technology annually than a lot of these competitors have in revenue, right?
 So it's getting increasingly difficult. I mean the Oracle deal, the UKG deal, again, deals like that would never happen with a smaller player because we could never make the investments and don't have the scale and scope that we have. So I would say it's still as it's always been. Occasionally, we will take business from a major competitor. I would tell you most of the deals we win come from the other tier players. 
Thomas Spaeth: Yes. And I think the one thing that's just really just being hammered lately from our customers is just our global capabilities, right? And a lot of our upsells are being driven by those global capabilities as well. So a lot of our expansion with existing customers is expanding into new regions into Latin America, into APAC, into Europe and so forth and so on. So that's just another example of -- and frankly, even the big 3. Of the big 3, we have the best global capabilities. 
Guy Abramo: I mean I just visited an example I use. I just visited 2 of the largest technology companies in the world who are clients of ours that were under RFP, and we retain the business. And their comments to us have been consistent. No one can handle a global program better than HireRight because of our single global platform. So that sort of advantage is difficult to compete against when you've got large enterprises wanting to do more consolidated screening programs throughout the different regions of the world, which is why I think we continue to grow share on global deals more than anybody. But again, a lot of deal flow is still coming from the smaller tier players. 
Operator: The next question is coming from George Tong of Goldman Sachs. 
Keen Fai Tong: You mentioned SMB performance fell slightly year-over-year in the quarter. Can you elaborate a little bit more on SMB trends and where you're seeing pockets of strength and weakness? 
Thomas Spaeth: Yes. Let me make a clarification on that. And I was going to jump in later and do it, but I'll do it now since you asked the question, George. So when we talk about the growth algorithm, and that's probably a nuance that we haven't historically done, broken out that SMB, George, our growth algorithm. And I think it's relevant because we look at those top 1,800 enterprise accounts, 75% of our revenue and we have account management team dedicated to that team. And then you've got 30,000 accounts that, to be honest, they're managed through more an e-commerce type channel and have less customer interaction, get less feedback from our customers directly on those.
 And as it relates to year-over-year growth algorithm, their contribution to the overall 10% decline we saw quarter-over-quarter was 2%. But when you look at just within our SMB customer base quarter-to-quarter, it was down much more in line with the broader business about 10%. So I want to make sure people understand that because I don't think everybody kind of grasps that, right? So the SMB business itself was down about 10% to 11%, similar with the rest of the business. As a contribution to the overall growth algorithm, it represents a decline year-over-year.
 Does that make sense? 
Keen Fai Tong: Yes. That's helpful. And how would you say the trends progressed over the course of the quarter with SMB? Was there any noticeable separation from enterprise? 
Thomas Spaeth: No, very, very consistent. Very consistent as Guy mentioned. We look at it more in macro chunk sector. We can't analyze 30,000 customers individually. 
Keen Fai Tong: Right. Okay. Got it. That's helpful. And then with margins, you talked about initiatives to improve automation and efficiencies. As you think about the roadmap ahead, what are your top 1 or 2 priorities to further that journey of automation? And which inning would you say you're in, in terms of realizing your targeted efficiency levels? 
Guy Abramo: Sure, George. Good question. As a baseball fan, I'd say we're in the third inning. It's a long game. But primarily, I would tell you that our AI work is really bearing some fruit. And a lot of that is -- so I don't want to just lay in the buzz, the buzz phrase of AI. A lot of that is our data matching algorithms that assist researchers with ensuring that a specific element of data can be attributed to a specific candidate and then, in fact, especially on criminal work, right? One of the things you've always heard me talk about is there -- if you take driving under the influence, there's 400 different classifications for DUI and criminal jurisdictions all around the world, multiplied by 25 different languages that you're using.
 So, starting to see success specifically with some natural language processing, ensuring that a data match occurs for a specific candidate. And that is the labor savings from 2 different places. One is it allows us to eliminate labor from the [ team ]. But the second thing it also does is allows [ labor to be ] more and more productive and more accurate in the results, which is our goal. Our goal mainly is to improve performance for clients, improve accuracy and improved turnaround time. The benefit of that work is it also happens to reduce cost. We'll continue that forever. I would tell you, there will always be something else to do in that area. 
Operator: Thank you. At this time, I'd like to turn the floor back over to Mr. Abramo for closing comments. 
Guy Abramo: All right. Thank you, operator. And I just want to thank, everyone, for joining the call this morning.
 We look forward to finishing out the year and keeping you posted on our progress as we continue to execute specifically against these uncertain times. So enjoy the rest of your day, and please do not hesitate to reach out with any questions. Thanks again, everybody. 
Thomas Spaeth: Thank you. 
Operator: Ladies and gentlemen, this concludes today's event. You may disconnect your lines at this time or log off the webcast and enjoy the rest of your day.